Operator: Good day, ladies and gentlemen. Welcome to the Angie's List Second Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Brinlea Johnson. You may begin.
Brinlea Johnson: Welcome to the Angie's List second quarter earnings call. As a reminder, today's discussion will include statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today's discussion, we'll present some important factors relating to our business, which may potentially affect these forward-looking statements. While these forward-looking statements represent our current judgment, these statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements. And we encourage you to review our most public reports, including our 2011 annual report on Form 10-K, for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. We are not obligating ourselves to revise the results or publicly release any revisions to these forward-looking statements in light of new information or future events. In addition, starting this quarter, as we refer to earnings, we will also refer to adjusted EBITDA, which we define as earnings before interest, income taxes, depreciation, amortization and noncash stock-based compensation. Adjusted EBITDA is a non-GAAP financial measure, and you can find a reconciliation of adjusted EBITDA to the most directly comparable GAAP financial measure in our second quarter earnings release, which is posted on our website at investor.angieslist.com. We believe that the use of adjusted EBITDA provides additional insight for investors to use in evaluation of ongoing operating results and trends. However, non-GAAP financial measures such as adjusted EBITDA should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP.
William S. Oesterle: Thank you, Brinlea. Good afternoon, everyone. We're going to attempt to keep our comments short so we can get to questions. We appreciate you joining us. We had a very good quarter. It was both consistent and in line with our expectations. Paid membership continued its rapid growth. We ended the quarter with 1.4 million paid households, growing 74% over the prior year period. On a more recent note, last week was the best member sales week in Angie's List history. In fact, just today, we sold -- or we finished the day with over 1.5 million paid households. In spite of all of this rapid membership growth, service provider revenue grew at an even faster rate, 94% over the prior year period. As you know, this performance is critical to the success of our long-term monetization. Total revenue also reached a new record, matching household growth of 74% over the prior year period. We continued to make very targeted investments in technology in order to improve member experience and build e-commerce functionality, both on the website and via mobile. Our new Palo Alto team is fully engaged. And along with the Indianapolis engineering staff, they are working like busy beavers, chopping wood along the way. In May, we priced a follow-on offering of stock that facilitated an orderly distribution of shares and helped increase our public float. We also issued an additional 703,235 new shares, raising $8 million in additional capital for future investments. We've had a busy, exciting quarter, with summertime being the most critical season for the Angie's List business. I'll now turn the call over to Angie.
Angela R. Hicks Bowman: Thanks, Bill. Our marketing continued to perform really well in the second quarter. We sold more new members than ever before. And our CPA came in at $91, which was right in line with our expectations. Strong marginal CPAs allowed us to increase spend by 52%. And as you probably recall, our spend follows a bell curve, with Q2 and Q3 being the highest, as we capitalize on seasonality trends to continue to drive strong membership growth. During the second quarter, we had success testing sliding our spend. We slided by taking spend dollars out of the week leading into Memorial Day and redeployed them in other weeks. This allowed us to stretch our ad spend dollars and bring more efficiency to the buy. And now to Bob for a closer look at the financials.
Robert R. Millard: Thank you, Bill and Angie, and good afternoon, everyone. A quick reminder, my comments on growth rates will refer to year-over-year changes, unless I indicate otherwise. We delivered a solid second quarter with strong revenue growth and consistent metrics. As you likely saw, we included a market cohort table in our press release today. We believe this table helps explain the growth and maturation of our markets. And therefore, we will be disclosing it on a quarterly basis. Looking at the table. You can see we delivered strong membership growth, higher penetration rates and increased revenue per market in all cohorts. Turning to expenses. Selling expense for the quarter increased 89% to $14.3 million. This was primarily due to higher service provider revenue and our continued investment in new sales personnel to originate and manage our growing base of service provider contracts. As anticipated, technology expense for the quarter increased to $4.2 million. During the quarter, we opened a Palo Alto engineering office and continued to invest in our technology infrastructure. G&A expense for the quarter of $6.6 million was impacted by approximately $700,000 of costs related to our secondary offering in May. We ended the quarter with $76.5 million in cash. For the quarter, adjusted EBITDA, a non-GAAP financial measure, was a loss of $21.5 million compared to a loss of $14.2 million. Year-to-date, adjusted EBITDA was a loss of $33.3 million. A more important metric, incremental year-to-date cash burn, was $11.8 million on an incremental selling and marketing investment of $29.1 million. We will now turn our attention to third quarter guidance. Total revenue for the third quarter is expected to be in the range of $40.3 million to $41.3 million. We anticipate marketing expense for the third quarter to be in the range of $26 million to $27 million. Noncash stock-based compensation for the third quarter is expected to be approximately $800,000. We anticipate approximately 58 million shares outstanding at September 30, 2012. We will now open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Justin Post of Bank of America.
Joyce Tran - BofA Merrill Lynch, Research Division: This is Joyce Tran for Justin Post. On the cohort analysis table, can you comment on why the newer cohorts are a little bit less penetrated than the old ones?
William S. Oesterle: So why the newer cohorts are -- let me just make sure I understand the question.
Joyce Tran - BofA Merrill Lynch, Research Division: There is -- the second and third one is 5.4% and 5.5% versus a 7.6% penetration rate.
William S. Oesterle: Yes. Those are younger markets. As a result, the cohorts are labeled by year. And as the markets age and the renewals billed, then they become increasingly penetrated. The second and third cohort have been running essentially in tandem. Our second cohort has the large markets of New York and L.A. in it, and so it takes a little more to grow those. But they've been running effectively in tandem for several quarters now.
Joyce Tran - BofA Merrill Lynch, Research Division: Okay. And also for -- in regards to the 3Q guidance, for the marketing spending, that's a little bit lower than this quarter. Is that a sign that's a tougher for the company? Or the company is more focused on the bottom line?
Angela R. Hicks Bowman: No, it’s actually -- our spend typically comes in a bell curve. So Q2 and Q3 are typically rather similar, but usually Q2 is a little higher.
Joyce Tran - BofA Merrill Lynch, Research Division: Okay. And then the final question. It looks like on -- the CPA was a little bit lower for the last few quarters, and now it's a little bit higher. Should we expect that to be higher going forward?
Angela R. Hicks Bowman: Our CPA typically peaks in Q2 because that's when we first reach kind of our peak spend for the year. And then we usually get -- gain a little bit of efficiency going into Q3 as we pick up some of the tail and the spend is in full momentum.
Operator: Our next question comes from Jordan Rohan of Stifel, Nicolaus.
Nathaniel G. Brogadir - Stifel, Nicolaus & Co., Inc., Research Division: This is Nat Brogadir in for Jordan. Just a couple questions. First, can you talk a little bit about The Big Deal or e-commerce revenue, how that's trending? I think you gave some color last quarter.
William S. Oesterle: Yes. We'll be reporting that in the Q, but we finished -- so we combined total e-commerce revenue, which has all of those things in it. For the quarter, we were at $3.4 million, which was a substantial increase over last year, and it was slightly down from the first quarter, a couple hundred thousand dollars. As we attempted to highlight on the last call, this is still very, very new and experimental area for us. We don't provide guidance on it for that specific reason. And in The Big Deal, in particular, for example, we tightened the criteria that we applied to service companies who can run big deals in order to improve user quality and make sure that we're maintaining that. And that showed up a little bit in the results for this quarter.
Nathaniel G. Brogadir - Stifel, Nicolaus & Co., Inc., Research Division: All right. That's good color. And then just secondly, can you talk a little bit about -- the service provider numbers are certainly impressive. Can you talk about maybe the backlog? Has that number increased? I think you guys were at 55,000 last quarter, if I'm not mistaken.
Robert R. Millard: This quarter backlog is $61.5 million. So it's up a little under 12% on a quarter-over-quarter basis.
Nathaniel G. Brogadir - Stifel, Nicolaus & Co., Inc., Research Division: Got it. And you gave some color regarding the membership numbers trending already better than the quarter end, pretty impressively. I mean, how do you think about -- churn rate picked up a little bit in the quarter, which makes sense seasonally. Any sort of expectations going forward on how to think about that monthly churn?
William S. Oesterle: You get some seasonality. There are a couple things that will affect -- churn, being the inverse of average renewal rates, it will vary based on how successful we are at selling new households and how successful we were last year. So our renewal rates, as you can see, the ones that we published this quarter, are remarkably consistent and have been strong. So we don't anticipate material changes in sort of average churn or average renewal rate.
Robert R. Millard: You will see in the second and third quarters, because of our monthlies coming in and out, primarily in the second and third quarters, churn will be higher than it will be in the first and fourth.
Operator: Our next question comes from Andre Sequin of RBC Capital Markets.
Andre Sequin - RBC Capital Markets, LLC, Research Division: I'm actually looking at the CPA results, and it looks like a pretty solid result as far as I'm concerned. And I was wondering, is that sort of benefit going to flow through in the coming quarters? Are you still seeing some benefit to be won from the national campaigns? Are you still getting kind of a cheaper CPA from those campaigns?
Angela R. Hicks Bowman: Yes, everything -- the marketing campaign is really working well, and we've been able to scale the national spend with good marginal CPAs. We're also still seeing some real nice positive impact from our SEO effort. So I'm real pleased with how the buy is performing and the marketing in general.
Andre Sequin - RBC Capital Markets, LLC, Research Division: Okay, great. And I guess I realize it's still in the early phases, I’m talking about e-commerce, but I wonder if you have any insight. If the traffic to your site continues in the winter, so despite sort of the actual fewer projects going on and as that's sort of typically a stronger e-commerce quarter, do you think you might actually see -- eventually see some smoothing in your seasonality in 4Q from e-commerce? Or is -- do the transactions also kind of follow the seasonality of your other businesses?
William S. Oesterle: Yes. The different products that we have in e-commerce have very different seasonal characteristics. So The Big Deal, for example, the service companies tend to favor running those when they’re slower, so it's almost countercyclical to the rest of the business. They're out attempting to build business when theirs is down. But things like Storefront are consumer-driven, so they tend to be seasonal, consistent with the traditional seasonality of the business. However, Big Deal is sort of revenue-loaded. It all comes at once, and Storefront is long-tail revenue. Those sales come over months and potentially years. So I doubt that answer helps in any way in your planning, but hopefully, it gives you some insight into how things are working.
Operator: Our next question comes from Shawn Milne of Janney Capital Markets.
Shawn C. Milne - Janney Montgomery Scott LLC, Research Division: Just a couple. You certainly don't guide to CPA. And certainly, the number is well within the bounds. But you had been showing fairly consistent year-over-year declines, and it was up a little bit. I know there's some seasonal patterns there. Is there anything else kind of worth calling out on that front, Angie? And then Bill, you just talked a little bit about your Storefront. I'm wondering if you can expand on that. What are you learning, if anything, from your Denver test? Any sense if we'll see a bigger rollout there in the not-so-distant future?
Angela R. Hicks Bowman: Shawn, on the CPA, I think -- you're commenting about year-over-year improvement. Q2 was a weird comparable for year-over-year because last year in Q2, we rolled out our new television creative and also introduced 15-second commercials. So that caused Q2 to be lower than would've normally been the case. So this quarter, the CPAs are behaving as we would expect in that Q2 is typically when they peak. So I'm really pleased with how things are going. It's just that when you look at it year-over-year, you get the weird comparison because of last year.
William S. Oesterle: Yes. And Shawn, I'll say -- let me even emphasize it a little bit. For years and years and years, in the second and third quarter, we would be happy with CPA, average CPAs that were over $100. And so -- and we did everything humanly possible to reiterate for everyone that seasonality -- in the last call, we were -- we know that second quarter, we're going to manage very intentionally to a higher marginal CPA because we'll get the tail out of it. And $91 is a fantastic result. I mean, it's really, really good on it, and it’ll let -- Angie manages to that. And as a result, we were able to put a lot more dollars to work and originate a lot of members. So we're -- we really couldn't be much more pleased with that number. Now on e-commerce, Storefront, we're getting -- obviously, we don't disclose the performance or revenue numbers there, but we're getting significant increases in Storefront setups. And in sales, Denver is still very, very early, but we're -- I'm pleased with the progress that we're making, and we're beginning to roll out -- certainly roll out Storefront originations into other markets. Denver just has a particular focus for us and will continue to be that way for some time. It's our laboratory.
Shawn C. Milne - Janney Montgomery Scott LLC, Research Division: Okay. That's helpful color. And maybe just one follow-up. You brought in the new team from Palo Alto, and without really sort of disclosing the entire technology roadmap, maybe walk us through some of the things that you’ll be working on. Are there any milestones or products that we should look for the next couple of quarters?
William S. Oesterle: Yes. I think it's mostly -- in the next couple quarters, it's primarily iterative efforts. I mean, there are few -- much of what we have -- some of the things that we've been talking about in terms of e-commerce are in test somewhere. They're pretty raw and undeveloped in test, but they are in test somewhere. So we have lots of incremental work going on in search, in communication, just basic communication tools between members and service companies and then in transaction tools. And they run the gamut. And you will -- we run a lot of A/B testing. But many of these things, if you're paying attention to the site, you'll see tested, you'll see them come back out, you'll see them back in. Much of that has started to show up already.
Operator: Our next question comes from Jason Helfstein of Oppenheimer & Company.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: Two questions. One, obviously, contract value is pretty strong, up 21% year-over-year and up 5% sequentially. Kind of as we all try to guess at what the peak number of that is, I mean, at some point, that will average out, right, to kind of to a number presumably, and then it'll just be about growing number of vendors. I mean, do you think we're anywhere near seeing the peak in that number as far as kind of spending per vendor? And then can you talk about how the new verticals would impact that over time, while I guess some might be additive, while some might be dilutive based on the different kind of verticals?
William S. Oesterle: I would say, Jason, we're a long, long way from finding the top of the contract value per -- average contract value per service company. And we know that from those old cohorts and the size of some of the contracts that our most established companies in those cohorts engage in. So you're right, there's kind of this -- there is an upward trend. As the companies consume more and average contract value goes up, that number can get pretty large. So we have some service companies that consume hundreds of thousands of dollars of contract value from us annually. And yes, at the same time, we keep adding small service companies. And we get kind of this downward network effect. If we can pick up a dog walker in a market, it's totally additive. Even though it's a small contract, it's totally additive to the household economics. So the average will hide some stuff, but the potential for continued growth in that number at the incremental service company is substantial.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: And then can you just give us an update on where you are with new verticals and kind of when you start to think that will be impactful financially?
William S. Oesterle: Yes. Well, let's see, certainly, health is impactful financially. It's producing, so you might not consider health to be a new vertical for us. But it is growing in terms of its impact on the business. It's monetizing. And we've got a couple other verticals that are under evaluation that I'd like to think, sometime in the next couple of quarters, we'll make an announcement and begin to move into one of those.
Operator: Our next question comes from Aaron Kessler of Raymond James.
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: First, can you just talk about the -- in terms of the e-commerce update, where do you see e-commerce sales going over the next year? In terms of percentage, how high do you think that can go?
William S. Oesterle: That's a tough one. We're learning. We're getting good uptake, but we're learning, and we're not going to -- for example, the move that we made on this quarter, a very overt move that we made with Big Deal. We looked around the industry. We saw some of the issues that were taking place with that type of offering, and we instituted an underwriting matrix for our service companies to evaluate the risk of any particular deal and its performance. And we implemented that matrix. It was a significant change in our origination of those transactions and, I believe, ultimately, a very, very good one. But that affected our originations for the quarter. I mean, we conceivably, under the old schema, could've originated quite a bit more. And so we get very, very hesitant about forecasting forward the potential of that business until we’ve had more experience dealing with it.
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: Great. And then just in terms of the previous question, I think you talked about acquisitions -- or not acquisitions, but additional verticals. Are you looking to build versus buy? Or are you open to either at this point?
William S. Oesterle: We would be open to either. I would say, just looking back on the history of Angie's List in the 18 years we've been doing this, we've got a whopping 2 acquisitions. So once every 9 years, we acquire something. So it's not often that we find things that fit. But if we did, we wouldn't be shy about it.
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: Great. And finally, just in terms of the ASP, I think that was down slightly sequentially. Where do you think that comes out at the right level as in terms of balancing to sub growth? And obviously, you want to keep the price high enough to avoid any fraud on the site.
William S. Oesterle: So you're talking about average subscription price?
Aaron M. Kessler - Raymond James & Associates, Inc., Research Division: Exactly.
William S. Oesterle: Yes. So we continue to -- the long-term strategy there is to maximize total subscriber revenue, which includes both member and service company. And that strategy sure looks like it's working. Our service -- so we're holding prices down in the young markets, which are growing fast, and that brings down the average service price. And then we've instituted -- we continue to roll out bundling and other experimentation that will bring down average subscriber price sort of gradually because we found that we can more than make up for it with service provider revenue. And our cohort table tells us that. And then it's interesting to me that we've grown the member base 74% year-over-year. And we were able to effectively keep the total revenue growing 74% year-over-year. And that's because -- even with average subscription price declining a little bit, it's because average service provider revenue is growing so rapidly.
Operator: Our next question comes from Yun Kim of ThinkEquity.
Yun S. Kim - ThinkEquity LLC, Research Division: So first, Bob, operations and support costs went up. I am assuming that's due to the Palo Alto group. Should we expect this number to be the new base going forward?
Robert R. Millard: In the operations and support, that would not be the Palo Alto. Palo Alto would run through the technology line. Your operations and support as a percent of revenue actually went down. And we're seeing nice economies of scale there. We’re at -- the first quarter was 18.6%. Now we're at 18.4%. What you really have is just our costs, absolute dollars going up because we have a higher member base and service provider base, and we have costs to service those members and service providers. But as a percent of revenue, you should see that going down.
Yun S. Kim - ThinkEquity LLC, Research Division: Okay, great. And then also, Bob, is there any change in the, how do I explain it, revenue visibility over the next 4 or 5 quarters coming from the service provider side of the business? Maybe -- I think you kind of gave us some idea like how much percentage of revenue you had visibility over the next 2 quarters, 3 quarters out or 4 quarters out. Has there been any change in the contract length or simply the fact that you have grown so fast over the past couple of quarters. Would that visibility mix change at all?
Robert R. Millard: No. The visibility from both the membership revenue and service provider side is pretty consistent to what we talked about at the secondary -- when we did our secondary. The e-commerce, as it gets -- since that's more transactional right now, that will impact it a little bit, but it's still very small. So we -- our visibility is pretty consistent to what we've talked before.
William S. Oesterle: I will say -- just one sort of clarification on -- our ad sales team has very intentionally reduced average contract length. It was up over a year. And that was costing us commission revenue that it was up -- we were paying effectively first year commission for the additional months over a year, and our renewal commissions are much lower. So they have managed that down. And I think since -- come down a month or 2 over the last couple of quarters, that doesn't reduce our technical visibility into the -- from a balance sheet standpoint, but our renewal activity has been so good that our confidence in the revenue is just fine. And in fact, it's more profitable revenue. So that’s a sort of arcane little point, but it is 2 months’ worth of contract lengths that we've managed back, and we did it very intentionally.
Yun S. Kim - ThinkEquity LLC, Research Division: Okay, great. I did make some couple of calls to the support center and got some feedback around that. That's why I needed to ask that. And then, Angie, has the spending mix across different channels like TV and Internet changed much at all? Or do you plan to change that mix anytime in the near future? And is there any certain channels that you'll be focusing more on? And then lastly, are you still doing a lot of nationwide-based marketing? Or are you interested [ph] to be more focused on particular geographies or particular markets?
Angela R. Hicks Bowman: Sure. So the mix of the buy has remained pretty consistent. We continue to invest in those channels because they've got -- they produce members of good unit economics. So that remains pretty stable. As far as local versus national, we're still focused on national because we're getting good returns, because you get the good returns off that national buy. Things of particular, I mean, besides the actual outbound -- or the national spend, we continue to focus on SEO and have seen some nice improvements from an SEO standpoint and continue to see that over the last couple of quarters really.
William S. Oesterle: We are doing a little bit of local testing just to -- in some of the big markets, we're trying to understand if local CPAs have become attractive enough for us to divert dollars from the national spend. But those things are still -- they're just tests at this point.
Operator: [Operator Instructions] Our next question comes from Peter Stabler of Wells Fargo Securities.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Quick one, Bill. You just talked about the average duration of contract. Doesn't shortening the contract also give you the benefit of being a little bit more nimble in raising rates against service providers? I mean, with membership growth growing so significantly, don't average -- length of your average contracts kind of lock in service providers for lower rates than they could be paying, given the explosive market growth?
William S. Oesterle: You're exactly right. That is -- at least half of the reason that we did it is right there. If you get out with a 2-year contract, then it's very difficult. And in fact, 2 years ago, we sort of learned this lesson. We started the business, it began to grow rapidly, and we were having trouble keeping up on a service provider ARPU from that standpoint. So the shorter contracts, one, the commissions were higher on long contracts; and two, you were locked in for a longer period of time. So we’d like to get those back to sort of an optimum point, and I think we're closer to that now.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Would you even go down to something like quarterly?
William S. Oesterle: We tried -- I don't know. Much like you folks, we like the predictability. We like having those things locked down. So there is a tension there, but -- and the e-commerce helps us a little bit on that front because it's just constantly refreshing. But right now, we're -- we sort of like how it's going.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Okay, great. And then a quick one on marketing, if I could. Angie, focusing on, let's say, the 2003, 2007 cohort, it's such a large opportunity in terms of total households. Quite obviously, it has the large markets you mentioned in there. Could you give us any color on how marketing performance might vary from an L.A. and New York to a market that's maybe a 1/4 or 1/5 that size? Is it very significant, the differences? Or is it kind of more nuanced?
Angela R. Hicks Bowman: So it's actually kind of interesting. So as our buy has scaled over the last year or so, we've really seen the markets like New York and L.A. really kind of get into their stride in member growth. And I think it stems from when we first were opening those markets a few years back, we were under-marketing in those markets. And as we brought the spend up, those -- we really kind of are starting to get into their -- to a point where the buy is getting to a more reasonable level to kind of what we ran in our Midwest markets and earlier markets. So we're getting some more parity there, which is also where we see this probably -- that's where we get some nice upside to the national buy. Because when you buy nationally -- if you’re going to buy nationally in a lot of those big cities, it's usually about 10 cities or so, you might as well -- if you’re going to buy media, you might as well buy it nationally because the absolute cost is comparable. So that's also what Bill was referencing a few minutes ago was -- but we're also continuing testing because at some point, we might find that the national buy, the marginal costs, if we see that starting to deteriorate, there's opportunity to probably still go put local dollars back into some of those larger cities. And that's why we're continually testing that as well periodically to see how local compares to national in some of those biggest cities. But right now, we're seeing real good performance on the national scale.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Great. And one quick one, if I could. Do you have a sense from your history on how marketing impacts renewal rates?
Angela R. Hicks Bowman: Sure. I mean, the members renew. I mean, the marketing is really is what drives the new acquisition. I mean, we had times in the business where we've taken the marketing down, especially when we had local marketing. We take it down to nothing over different periods of time in the company's history, and we didn't see the same impact on the renewal rates. So the marketing is really what's driving that new subscriber growth.
Operator: Our next question comes from Sameet Sinha of B. Riley.
Sameet Sinha - B. Riley & Co., LLC, Research Division: I apologize if the questions have been answered, but I jumped in late. So first thing is your marketing expense in the third quarter is fairly similar to what you had in the second quarter, while I think in the first quarter earnings call, you had said that second quarter was going to be the high watermark. What's the reason behind it? I mean, are you seeing more and more opportunity for land-grab and you're going after it? My second question is in terms of -- I noticed that you're offering SEO services to your merchants. Can you talk about that product and sort of economics and any sort of early traction you're seeing there?
Angela R. Hicks Bowman: So on the marketing spend, we typically -- our spend is on a bell curve. So typically, the summer months are the highest months for spend. So it's not unusual for Q2 and Q3 spend to be similar. Q2 was a little -- typically, is the highest, and then as we get into the fall, the spend tends to taper off. So we're still real pleased with how it's performing. This is just the nature of the business. As consumers get distracted in things, as we get into the fall and into the winter months, our spend usually comes down as you head into the holidays.
William S. Oesterle: And then I think what you're referencing with respect to selling SEO services was a Big Deal that we offered. It was for another vendor. So it was essentially just part of our Big Deal campaign. We ran an offer for SEO services to our service providers. But it was for another vendor. And so it was a deal just like electrician services or otherwise.
Operator: This concludes Angie's List conference call. You may all disconnect, and have a wonderful day.
William S. Oesterle: Thank you very much.